B. Bazin: Good morning. It is my pleasure today to present our 2025 results together with Maud Thuaudet, our CFO. Once again, we delivered a very strong performance in 2025. 2025 was the last year of our Grow & Impact plan, which has been a very clear success. We have demonstrated our capacity to execute year after year and deliver on strategic initiatives, value creation, margin and cash. Saint-Gobain is now an attractive business profile, thanks to our decisive portfolio optimization, which will, of course, will continue. We are positioned Saint-Gobain as the leader in sustainable construction, and we have achieved all the financial targets that we had set at our 2021 Capital Markets Day. Here are a few examples of Saint-Gobain solutions being used around the world in iconic residential or nonresidential buildings, such as this inspiring resort in Saudi Arabia. On infrastructure also, we have provided, for instance, 17 solutions at the new Noida airport in Delhi in India, bringing clear benefits in terms of climate resilience, regulatory compliance and fire safety. In 2025, our teams have once again delivered very well against very different market backdrops. Europe improved in the second half, returning to growth. In North America, as expected, we outperformed, and we delivered a broadly stable margin in the second half. In Asia and emerging markets, we delivered strong growth, up 12.6% in local currencies. And finally, we have taken new strategic steps in construction chemicals with Cemix and FOSROC acquisitions, in particular, achieving almost 16% sales growth in local currencies. Let me congratulate and thank very warmly all our talented and very engaged teams all around the world. Now moving to our financials. In 2025, we have delivered a strong set of results despite contrasted markets. Growth in sales up 2.1% in local currencies with over proportional growth in profit, both EBITDA and operating income, a robust EUR 3.3 billion recurring net income and a 4.5% increase for our proposed dividend at EUR 2.3 per share. We also continued to deliver strongly on free cash flow with a 58% conversion ratio. So a very strong set of results and very, very strong execution. Now, Maud the floor is yours to go through all the financial metrics.
Maud Thuaudet: Thank you very much, Benoit. Good morning to all of you, and I'm very happy to share with you our strong 2025 results this morning. I'll start with the top line. We achieved sales growth of 2.1% in local currencies. On a like-for-like basis, sales were virtually stable. They were supported in H2 by good growth in Asia Pacific and Latin America, a return to growth in Europe despite the decline in North America. Volumes were down 1.3% over the year, reflecting these mixed market trends by geography. Prices were up 0.8% and with a positive 0.7% effect in H2 in a softer inflationary environment, inflation was broadly stable in H2. This actually reflects the added value of our solutions and disciplined execution from our local team. Currency effect was minus 2.3% for the year. It became more negative at minus 3% in H2 with the depreciation of most currencies against the euro. And we expect similar impact in Q1 2026 of around minus 3% on sales. We had a positive scope impact of 2.6% and reflecting our continued portfolio rotation and in particular, Cemix, FOSROC, Bailey and CSR. Regarding operating income and margins, we delivered overproportional operating income growth, up 3.8% in local currencies and slightly up like-for-like. We were able to deliver a stable operating margin despite the environment and the negative currency impact. This was driven by our ability to proactively adapt our operations throughout 2025 as market conditions shifted from our initial scenario. We had a greater impact from FX on the operating income at minus close to 4%, close to double the impact on sales. This is because the depreciation versus the euro was particularly seen in regions where the group -- where the margins are above the group's average. This strong margin performance reflects a very good operating performance, including a slight positive price/cost spread. Moving now to EBITDA and EPS. EBITDA rose 3.4% in local currencies with the EBITDA margin stable at 15.5%. Nonoperating costs remain below our group guidance of around EUR 250 million on average per year. And as explained in July, there were more in H2 than in H1. Net financial expense was up, reflecting the rise in gross debt and less interest earned on cash placements. The tax rate on recurring net income was stable at 24%. Last, EPS increased 2.5% and 6.4% in local currencies. Now looking at cash and balance sheet. We generated free cash flows of EUR 3.8 billion with a cash conversion ratio of 58%, above our target of 50%. We continue to dynamically optimize the operating working capital, reducing by 1 day to 11 days sales at the end of 2025 despite the dilutive effect of our portfolio rotation. And in terms of CapEx, we remain stable at around 4.5% of sales and planned for the same this year. We also maintained in 2025, a strong financial discipline and a strong balance sheet. Our net debt-to-EBITDA ratio was stable at 1.4x and we made clear capital allocation decisions toward value creation for our shareholders with notably 95% of our gross investment either through gross CapEx and M&A put in our high-growth markets and EUR 1.5 billion returned to our shareholders through dividends and share buybacks. Now let us look at the results by region, and I'll start with Europe overall, where we saw a return to sales and operating margin growth in the second half sales were up 1.1% in local currencies and up 0.6% like-for-like. The margin held up well despite the lower sales in H1 driven by firm price and cost management. In terms of local dynamics in Northern Europe, a contrasted situation from one country to the other with the U.K. reporting further growth with a strong outperformance, thanks to our specified sales and our full solutions offering in the country. Eastern Europe was slightly up even if Poland was impacted by weaker Industrial Solutions, Germany remained down ahead of the stimulus plan in a wait-and-see attitude and the Nordics remained mixed overall, but we won several large infrastructure projects there. Lastly, it's worth noting that we are well placed to capitalize on major infrastructure and defense spending in Central and Eastern Europe, thanks to a network of 100 plants and representing over 10% of our sales of the group sales. Now moving to Southern Europe, Middle East and Africa. We improved noticeably because in the second half, sales were up 1.7% in a market that remains uncertain, France stabilized in the second half and reported growth in the fourth quarter, driven by the rise in permits and housing starts, which should continue to support new construction. We outperformed the market in both new construction and renovation. Spain and Italy continued to show growth with particular market share gains in Interior Solutions and the Middle East and Africa achieved double-digit growth, supported by the successful integration of FOSROC, in construction chemicals and major infrastructure project in Saudi Arabia and Abu Dhabi. Moving now to the Americas. Sales in North America were down 4.2% over the year and by 7.3% in H2 with Q4 down 8.2%. U.S. roofing volumes remained low as expected in Q4, down 17% given the lack of major weather events. The new construction market was down, impacting Interior Solutions, but construction chemicals accelerated throughout the year with market share gains. Despite this challenging environment, our North American teams outperformed the market and delivered a very good operating performance, maintaining a positive price effect and optimizing production cost and industrial plant maintenance. As a result, margins held firm for the full year and in the second half. Latin America delivered a strong performance, up 13.5% in local currencies and 6.9% like-for-like. Growth was slower in H2 on a tougher comparison basis and with prices slowing at the end of the year due to lower energy costs. The integration of Cemix in Construction Chemicals has been a great success with 15% growth in local currencies and clear spillover effect in Central America for the full Saint-Gobain solutions offer. The Americas region delivered a slight increase in its operating margin over the year to 17.2% and held firm at 16% in H2, as we said last October. Turning lastly to Asia Pacific, we delivered 17% growth in local currencies and 2.4% like-for-like. The operating margin reached a record supported by volume growth and good pricing management. India saw double-digit growth and further market share gains with our comprehensive range of solutions, we were awarded new projects in nonresidential and infrastructure with increased share of wallet, thanks to our leadership in construction chemicals and the successful integration of FOSROC. Southeast Asia saw growth with a widened range of specified solutions and the delivery of 20 data centers in Indonesia and Malaysia during the year. The integration of CSR is going well, both in operational performance and in the enhancement of the solutions offering for the local market. The Australian construction market remains lackluster but leading indicators are improving. And last, China was down slightly over the year, but progressed in H2 with market share gains despite continued market weakness. So in a nutshell for Saint-Gobain, 2025 was a strong year focused on discipline and execution despite a contrasted environment. And for 2026, I can tell you that all the teams are fully committed. Priorities are crystal clear, outperformance, margin, cash portfolio rotation and we are all set to deliver. Benoit, I'll leave it to you for the conclusion.
B. Bazin: Thank you, Maud. Let me now update you on our strategy. Saint-Gobain is opening a very exciting new chapter with our strategic plan, Lead & Grow that we announced at our Capital Markets Day last October. We benefit from strong supportive megatrends in sustainable construction, population growth and urbanization, notably in Asia and emerging countries, job site productivity and energy efficiency renovation, notably in Europe and the adaptation of buildings and infrastructure to extreme weather, especially in North America. We have an unmatched breadth of addressable markets across residential, nonresidential and infrastructure totaling EUR 500 billion. And to capture this, we are rolling out a value-enhancing solutions approach and leveraging the well-established growth compounding country platforms. Let's start with our solutions. We are the only provider of a comprehensive solutions set delivering performance and sustainability. We have everything for buildings and infrastructure from roofing to facades, flooring, partitions, ceilings and so on. And our solutions bring thermal, acoustic, air quality, visual performance and even productivity benefits project sites. This is altogether a very crucial competitive advantage for Saint-Gobain. A key part of Lead & Grow relies on our expansion of these solutions into nonresidential and infrastructure markets where we have many growth opportunities and where we can tailor and specify our Technical Solutions segment by segment. If I take the hospital segment, for instance, where hygiene, safety, air quality, comfort are crucial, we have a full range offer, including easy to clean floors and ceilings, X-ray protection plasterboard, antibacterial wall finishings and so on. We provide technical support in high performance and code-compliant materials and we have dedicated local teams for the health care market. Similarly, data centers have their own specific requirements centered around construction speed, thermal performance, fire safety, sustainable construction. And here also, we have a full catalog of technical, specific what we call hero products that address these needs. With our global key account management, we are currently working on an active pipeline of more than 600 data center projects in 26 countries around the world. In infrastructure, airports have their own specific requirements in terms of customer experience, regulatory compliance and climate resilience. We have also tailored comprehensive solutions to address both the billings, which, on average, is 60% of the CapEx for an airport and the infrastructure part of airports. As you know, we are growing fast on infrastructure, thanks to our attractive leadership in construction chemicals, which has been a very dynamic buildup in the last years. Our EUR 6.5 billion leading platform across 76 countries can address all critical parts of infrastructure and buildings. As we highlighted at our Capital Markets Day, we plan to continue our acquisitions and also our CapEx to reach more than EUR 9 billion of sales by 2030 on construction chemicals. This is a bit of a highlight by segment. Now let's look at how we deploy our solutions by region. In Europe, we see improving leading indicators with strong commitments from government, even the EU level to address the housing crisis, also some rising affordability and better housing starts. On the renovation side and energy efficiency, we see policies supportive of energy-efficient renovation and green value is increasingly reflected in real estate prices. We are well placed to benefit from the improving leading indicators, thanks to our solutions approach across the board that brings share of wallet, cross selling and margin benefits for Saint-Gobain. We also have very attractive digital solutions. One example is for architects on facade specification, we are the clear leader. The second one as a go-to partner for thousands of craftsmen in France, we have a full suite of digital tools enhanced by AI that bring to them speed and value on quotes, regulations, invoices, deliveries and, therefore, attractive, stickiness and volatility of those contractors to Saint-Gobain. In North America now, we work also on strong contractor engagement and loyalty to drive and enhance our brand reputation across our multiple products and solutions offer. We are the #1 position in North America on interior and exterior solutions. This allows us to further roll out cross-selling actions and more importantly, to build up and strengthen win-win partnerships with the top national distributors across the country. In North America, we are the best player to address the increasingly extreme weather conditions with the most comprehensive climate resilient offer on the market. But the core of that offer is our leadership in roofing across U.S. and Canada. And I'm convinced that it will continue to benefit from strong fundamentals. Although, as we know, the 2025 storm season was unusually calm with no hurricanes for the first time in 10 years, there is an increasing number of extreme climate events in the U.S. Second, more than 12 million homes built in the early years of 2000, need renovation -- aging of the roof. And third, we have this structural housing shortage that persists in the U.S. and in Canada. To build up on that momentum and the strong fundamental drivers of roofing, we are replacing a nearly 50-year old line with a modern, highly competitive roofing capacity in the undersupplied region in the Southeast. Altogether, I'm confident that this positions us altogether on climate resilient offer, including, of course, roofing, to outperform and continue to outperform in North America, like we have demonstrated again last year as one of the only 3 meaningful national players in roofing in North America. In North America, we're also expanding in nonresidential and infrastructure. We are well positioned to serve fast-growing segments such as data centers, airports, I mentioned hospitals a bit earlier on. We have dedicated sales teams and we differentiate with highly technical products like our Sage electrochromic glass. We are the only in the world to provide that, that has been specified in 29 U.S. airports over the last 2 years. Altogether, I'm confident about the structural growth drivers and outperformance of Saint-Gobain in North America and what will continue to grow in North America across the board in the coming years. Let's now look at how we are deploying our solutions in Asia and emerging countries, a very important profit tool and growth tool for Saint-Gobain. In India, we are the undisputed #1 on buildings, and we are expanding on infrastructure, already 2,200 major infrastructure projects in '25. In Southeast Asia, we systematically complete our offer country by country. And we differentiate like in China, differentiate ourselves with high value-added solutions that represent 45% of our sales, which brings good resilience and margin also in China. In this region, we are significantly increasing our penetration on nonresidential markets also through specification. Take the fast-growing hospitality market in the Middle East we are very well placed to service this market with our leadership positions in the Middle East and Turkey. In Mexico, nearly 30% of our sales stem for specification, and we are leveraging our widened offer, including our construction chemicals offers, thanks to the very strong profitable Cemix acquisition. So this is the view by region, after the view by segment. And as you know, to roll out our strategy, of course, quality of execution, which we have demonstrated day in, day out in the last 5 to 6 years, quality of execution is crucial. And this is what we have delivered consistently and will continue to do so. We benefit from our country-led operating model, which is well suited to our markets, of course, but well suited as well to our current geopolitical environment. This Saint-Gobain operating model has been tested and proven with proactive and empowered CEOs very close to their teams and customers. They work -- we work on all levers, commercial excellence, I highlighted quite a lot of examples by systematically tracking the rollout of our solutions, margin by proactively driving cost and productivity gains as well as positive price/cost price based on the value that our solutions bring to our customers and cash, of course. This operating model by country is a great growth and value creation compounder for Saint-Gobain. A few examples of what we have done in the last year, take, for example, North America, where our teams have increased our sales by 60% since 2019. Mexico, India, the Middle East, which are meaningful size for Saint-Gobain, not only in sales, but of course, in profit where we have more than doubled our turnover over the same period. And in all these countries, Saint-Gobain has significantly outperformed the market. As you know, one of the strong, very strong pillars of Lead & Grow is that we have done in the past, our ongoing portfolio optimization that has brought a lot of successes. So we continue to actively steer our portfolio optimization. I'm happy to say that the integration of FOSROC and Cemix in construction chemicals are going very well with 11% organic sales growth in local currencies and 20% combined EBITDA margin. We have created a lot of value in the past acquisitions, such as Chryso, GCP and Continental, and we are on track to deliver value for our most recent acquisitions. In 2025, we rotated EUR 1.2 billion of sales, and our country platforms are nurturing an active pipeline as we speak. As you know, we intend to rotate through acquisitions and disposals more than 20% of our sales by 2030, keeping a strong value and continue to work, of course, under value creation for our shareholders. Indeed, our strategy is delivering attractive shareholder returns. In '25 total return to our shareholders from dividends and share buybacks amounted to EUR 1.5 billion. If I take the last 5 years, we have returned over EUR 7 billion to our shareholders. In 2026, the Board we had yesterday proposed -- will propose to the AGM, a dividend of EUR 2.30 per share. Shareholder returns will continue to be a very important part of our capital allocation framework. From '26 to 2030 we plan buybacks of around EUR 2 billion and dividends of around EUR 6 billion. So EUR 8 billion altogether for our shareholders. Now let me finish and turn to our outlook. You can see our expectations for each geography here on the slide, in a contrasted macroeconomic environment and still uncertain geopolitical landscape, Saint-Gobain expects an EBITDA margin of more than 15% in 2026 with the first half affected by the extreme weather conditions in Europe and North America that we have seen since the start of the year. As a conclusion, we have established a very strong track record over the last 5 years. Lead & Grow gives us a very exciting and very powerful road map, very clear for the teams, for the customers, for the shareholders over the next 5 years, deepening our value-enhancing solutions, expanding them across nonresidential and infrastructure; and second, sharpening the group's business profile through portfolio rotation. All this being delivered with ongoing excellence in execution supported by our proven operating platform country by country. So I'm very confident that all this will continue to deliver strong momentum, strong value creation for all our stakeholders. Thank you very much. And we now turn to your questions for Maud and myself.
B. Bazin: As always, we start with the questions in the room, and then we will go on the call or Internet. So Elodie wants to...
Elodie Rall: Elodie Rall from JPMorgan. Maybe I'll ask them one at a time. First of all, could you give us some color about your expectations about volume and pricing for '26? And I assume you confirm price/cost positive. I'll continue then. Second, you're guiding for a weaker H1. Does that mean that we should prepare for -- prepare for margin in H1 to be down before recovering in H2? And overall, do you think you can defend 2025 margin, noting that consensus is already a bit above? Third question is actually on the difference between EBITDA margin and EBIT margin. So I know you confirm at the CMD that more than 15% EBITDA margin equals more than 11% EBIT margin. But what we've seen in H2, is that actually EBITDA margin was down 40 bps when EBIT margin were flat. So maybe you can give us a bit of color what's going on in D&A and other nonoperating costs and how we should forecast that in '26? And just 2 quick ones more. Northern Europe, I think the disappointment was that volume was sequentially lower there versus Q3, and we were expecting some improvements. So when should we expect volume to turn positive in the region? And lastly, well done on North America margins, indeed flat in H2. But I think you indicated tougher comps in H1 '26. So what is the magnitude of decline that we should prepare for H1?
B. Bazin: So we took notes because it's a long list. Do you want to take the technical one, the third one.
Maud Thuaudet: Yes. So difference in EBITDA and EBIT. So what we said at the CMD, 15% equivalent to 11%. That doesn't change. Then you have indeed some H1, H2. End of July, we had said that we had lower nonoperating costs. They were at that time around EUR 50 million. And then you have overall for the full year, EUR 230 million. So you have had that mix in terms of semester on nonoperating costs. And especially, of course, that has weighed on the EBITDA margin in Northern Europe, where we have done a bit more in H2 of restructuring and nonoperating costs, therefore, being a bit up in Northern Europe in H2, especially. So the message remains the same, which is EBIT plus 4% and then EBITDA. And then in terms of depreciation, we anticipate more or less the same figures in terms of depreciation.
B. Bazin: Maybe we'll go back to the first one. So yes, we continue to target positive price/cost spread like we have done last year on H1, full year and H2. Now let me clarify a bit the -- your question on volume and price and notably on Q1 weather because I'm sure it's a question I hate, and it's the first time I mentioned weather, but it's a fact that we have a very significant weather impact. If you take France, we have -- we have seen snow, but more importantly, we have seen a lot of floods in the last weeks. First time ever in the last 50 years, we have so much rain, and we have half of our regions, which are down double digit. So it's significant. You have seen also all the huge snowstorms in the U.S. with, I think it's 24 states on emergency status in North America. So all this has an impact. So we are assuming, of course, the normalization in Q2 because we think the weather will normalize. So Q2 and second half normalization improvement, as I highlighted in the outlook. So it's a transition, weaker volume. We think we'll have bottom actually on Q1 in North America, assuming the weather will normalize in the second quarter. So all in all, when you take the impact on North America and U.S. we should expect a low to mid-single-digit volume down in Q1 because of this weather. It's unfortunate. But that's the fact that we see in France and North America. And from there, normalization, improvement. We expect a lot of the green shoots we have seen in Europe to continue. France turned positive in Q4. And outside of this weather impact, it should continue. We have seen some positive momentum in the U.K. You have seen some very strong performance in Asia and Latin America. All that will continue. But yes, there is this volume impact on the first quarter, which has again, low to mid-single digit impact on Q1 volumes, minus 3 to minus 5, it's too early to tell because. We are not completely out of the woods. But that's the magnitude of the impact. And to sum up, on Q1, we were expecting Q1 to continue like Q4 outside of the weather impact, but the weather impact has been significant notably for France and the U.S. Overall H1 margin, we don't guide again margin by half. As you know, we are ambitious on the margin. We will stay ambitious. So there is, I think, a different seasonality to expect this year on the margin like on the operating profit because it's about the same. Don't forget these exceptional items last year that we are different in H1 and H2. So that's the slight difference between operating profit and EBITDA. But we might see a seasonality different this year between H1 and H2 on the margin because of this weather impact and because of the fact that we will see improving trends in our end markets starting in Q2. But more importantly, in H2. So it will be a bit of 2 halves of the year with a different momentum. I think your other question was on North Europe volume, take that one?
Maud Thuaudet: Yes, sure. So Northern Europe, it's really a story of mixed and contrasted evolution country by country. Again, U.K. outperforming clearly. Then Germany still down. And we are quite happy to see that finally, the stimulus plan, you see some money starting flowing into the economy, but not yet into clear spending in construction at least. That's not what we're observing. So ahead of that, for sure, we have done some restructuring. We have optimized our setup in Germany, and we are ready to capture. The teams are already -- have key accounts in place discussing with all the major customers and with all the major people in charge of this public spending to prepare for the project and to get the impact. But it is slow, and it is taking a little bit of time. Then looking at Nordics, again, within the Nordics, mixed and contrasted dynamics. Norway is still difficult. Finland and Denmark are in a better shape. So we will see how that evolves, but that's the overall...
B. Bazin: And if I take the last question on North America. As you have seen, Q4 was a bit softer than Q3. So we outperformed the market when you look at our self-delivery and margin in the second half. We don't have the carryover. Therefore, effect that we had starting Q1 of '25, [ because Q4 ] was a bit softer. So all in all, H1 '26 margin in North America will be below H1 '25, no surprise. And I think in terms of magnitude, the better indication is more the H2 '25 margin, than H1 '25 margin because of the volume momentum we have seen in H2 that we will continue to see at the start of the year, notably in Q1. And then it will progressively normalize. So as a reference, it's H2 margin, H1 margin that we expect for H1 margin in North America.
Elodie Rall: So that's 200 basis points decline then?
B. Bazin: You know the figures. But that's -- of course, it's too early to tell, but the order of magnitude is more the reference of '25 second half than first half, second half, where we had this carryover from late '24 expecting again in Q2 a normal weather pattern, which is what we expect, and we'll see the replenishment of the inventories from the distributor. And keeping in mind that roofing is 35% of our total exposure in the U.S. We grew in siding in Q4. We are growing as we speak in siding. So we gained market share on construction chemicals. So I think we should not overemphasize the roofing picture, which as we have seen on the slide I shared with you, a very abnormal hurricane season. And on top of that, even on the storm from hail storms, we were 13% below the last decade. So I think it was a transitory weaker volumes in North America due to weather impacting roofing, weather impacting across job sites in Q1. I think we can say too early, but we have bottomed in Q1 in North America. And from there, it will improve. You have seen that you take collective housing, the starts and the figures are moving in the right direction. I think the affordability even if it's a bit slow, is improving versus where we were some months ago, and we have delivered very well on our commitment in North America and all the teams are hands-on how to continue to [Technical Difficulty]...
Ebrahim Homani: Ebrahim Homani, CIC CIB. I have 3, if I may, a follow-up on the roofing business in North America. -- if the weather conditions are more normal than last year, what could be the organic growth and the margin in 2026, especially in H2. My second point on your CapEx and the investment strategy for 2026. And do you expect an increase in free cash flow to EBITDA? And my last question is on Europe, price and volume dynamics that you expect, especially in Southern Europe?
B. Bazin: I take the first. You may conclude. I repeat again, Roofing is a very strong business in North America. We are the only, the 3 only national players. So when you talk to the large distributors that are consolidating the market, they need national payers. So you win because you are national player across U.S. and Canada. I had a chance to meet the top 3 national distributors we have in December. I can tell you they are happy to continue to win with Saint-Gobain. I know that some competitors thought about entering the market. They may have realized, it's not easy to be a meaningful player on residential roofing in North America across the board. So it's a very good business, driven by strong fundamentals. Again, you have seen the multiplied by 4 of the weather patterns. If I take the last 30, 40 years, it's not going to diminish. It's accelerating with an exceptional low year in 2025. We have also all the aging of the roof. And on top of that, the housing shortage that everyone is working on it across all the states of the U.S. and also in Canada. So yes, we expect the weather to normalize. You may have seen -- we are not the only one to say it, Home Depot, which is a good proxy of the U.S. market, said it beginning of this week. So all this is there. We could expect -- again, it's too early to say that all the ice and snow storms we have seen across the board in the last 2 months would trigger some additional above and beyond renovation. By how much? It's a bit early to tell, but yes, the momentum in roofing will continue to be good, assuming, of course, a normal weather pattern starting in Q2 and H2. So yes, we will find it back in the second half. And that's the equation that we have computed because all the fundamentals drivers of roofing are still there, and we are happy that we have this Georgia competitive plant ready to go. Again, it's a 2% addition on the market, which had been sold out in the last 5 years. And even the region of Florida and Southeast today are pretty busy. So we are happy to be the first to have a competitive plant ready to go when the market will improve, and it's very meaningful for the national distributors when you continue to invest on your roofing business, like when you invest on your plasterboard, siding business and when you have the complete offer. So I'm not worried at all about 8% new capacity additions that we have seen over the next 3 years on the market and again, 2% coming from Saint-Gobain. We shut down a plant, which was 50 years old. We didn't ask you to visit, and we'll be happy to ask you to visit the new one, but happy to have a new one recent one in Georgia, which is a very busy [ Southeast ] region.
Maud Thuaudet: Yes. So in terms of CapEx, 2025, we were around 4.5% of sales. We will be the same for next year. 80% of our growth CapEx were in those high-growth markets, as you might have seen. It's very important that we allocate those CapEx to growth. And there are clear allocation on this topic. And we are, for example, in India, building clearly very fast our footprint to grow in the country, and it's working extremely well. We are enlarging the offer, and we are gaining shares as well in the categories where we are already. In terms of free cash flow generation, our target is to be above 50%. You have seen the results this year. We will obviously remain there and continue to optimize all the elements of the free cash flow.
B. Bazin: You had a question on price and volume in Europe. Yes, we expect what we started to see in the second half of last year to continue. Now keep in mind that it has been 4 years in Europe with a negative trend. So I was happy that for the first time in H1 '22, if I'm correct, we had growth in Europe in local currencies in H2 of '25. We should continue to see that bearing in mind, notably in France, the negative impact of the flood in the last 2 months. So yes, it should continue. We have announced some price increase at the beginning of the year in Europe across multiple geographies, be it in France, in the U.K., in Germany. So that should continue and progressive evolution as well in Europe. We have seen all the green shoots of new build. If you take France, the starts are up 5% to 7%. The permits up double digits. So all this will trigger some additional activity going forward. Another question in the room. So, we may turn questions to the call, who wants to start? Is it Goldman Sachs? So go ahead, please.
Unknown Analyst: I just had 2, please. I guess, thanks for the comments on the U.S. margin impacts in the first half. If we're thinking about the European margin impacts, is it right to think they're less significant than the 200 basis points you expect for margin pressure in Americas? And I guess the second question would just be on portfolio rotation, in light of the 20% target by 2030. I'd be interested, do you see 2026 as a year where you can make more progress than average on -- against that target? And I guess do you see the upside more from divestments or acquisitions this year?
B. Bazin: You take the first, and I take the...
Maud Thuaudet: So EU margins, they will continue. You've seen what we have delivered this year, and we will continue maintaining the positive price cost spreads at group level, obviously, and focusing on strong pricing. And we will continue delivering on the margins. Of course, we will have some benefit from volumes when volumes are back, and that's what we have said in the past about operating leverage of around 25% when you have some kind of significant volume uptake.
B. Bazin: And on the portfolio, so yes, we are active. You have seen that we announced on Tuesday or Wednesday, 2 small acquisitions on Construction Chemicals, that's part of the add-ons and bolt-ons we are happy to say and to deliver. We will continue to do that. We are working, as we speak, on acquisitions and divestitures. Depending on your average, I don't know what it is. If you take the last 5 years, we rotated 40%. So roughly 10% per year. We want to rotate 20% in the next 5 years. So is it going to be 10% just this year? It's a bit on the high side. But yes, we will be active on portfolio rotation in '26, both in terms of acquisitions and divestitures. On acquisitions, we have a very solid balance sheet. So we are ready to capture the good opportunities, but we are always extremely conscious about the value creation that we have delivered in the past, integrating well when you have double-digit growth on Cemix and FOSROC, that means it's a very good solid acquisition and delivery. So yes, we will be active in '26, and we will show more progress, as you asked on the portfolio rotation to continue to strengthen the business profile. And you know the criteria, financial criteria and also the strategic criteria, growth and acquisitions and CapEx in high-growth geographies, construction chemicals and divestitures in the businesses which are a bit far from the strategy or a bit far from the financial performance of the group.
Unknown Analyst: Excellent. And Maud, maybe just coming back on the margin question. Just thinking about the French weather impacts that we could expect on margins in the first half. Is there any way to quantify what kind of headwind that might pose against, obviously, the improving volume outlook and positive price contribution?
Maud Thuaudet: So you've seen that in the past we've been able to manage quite well the margins in Europe. And we will be, again, always very demanding with our teams who deliver really well on the margins.
B. Bazin: Next question is from Cedar, Morgan Stanley.
Cedar Ekblom: Just 2 questions from me. Can you talk about your relative performance in the U.S. market in the fourth quarter? It does look like your volumes outperformed Owens Corning and outperformed the broader ARMA data from a roofing perspective. Do you think that, that's just a comp effect? Or do you think that there is something to say there in terms of how you're engaging with the customer? And then can you help us put some numbers around how to think about energy cost inflation into 2026? Obviously, energy markets have been quite volatile, but is there a potential for a tailwind on energy costs as we move into 2026? Or should we still be thinking about an inflationary backdrop?
B. Bazin: I'll take the first and you take the second one. There are multiple reasons for this outperformance in the second half. Clearly, I think the fact that we have a full breadth of offering, when you talk to the big distributors, they are happy to have -- because a lot of them, they have now exterior and interior solutions, take the Home Depot, SRS, GMS, you take Lowe's and FBM. So they are happy to have the full set of solutions, exterior and interior. And we are the only one to provide all this when you compare to the roofing or to the other players. So that's part of the equation. Like I would say, when you look at our construction chemicals overperformance, we delivered almost 3% in the second half. Of course, the other set of product lines have a pull effect on our construction chemicals performance and [indiscernible] a pure-play silo business, yes, the fact that we have the full breadth is meaningful. We have also enhanced our contractor customer engagement on the ground that helps on the delivery. After that, yes, there is a bit of outperformance versus ARMA statistics, and we hope we are working hard to continue to do that going forward. There was also -- if you take the gypsum performance in the U.S., we did much better than some of the public figures, we have seen because we were in a mid-single-digit decline in the kind of minus 5%, minus 6% decline in North America in the second half when I have seen some other figures being down double digit. That means you can have this win-win effect on exterior/interior solutions.
Maud Thuaudet: Energy. So energy, as always, we have our hedging policies, which are in place. Indeed, it's a volatile market. We don't see much inflation. We anticipate around stable energy inflation for this year with, of course, volatile situation, but no particular point on energy. And overall, for inflation, we anticipate stable to slightly positive inflation. And of course, we will keep this positive -- slight positive price cost spread for the full year.
B. Bazin: I think the next question is from Bank of America, Arnaud.
Arnaud Lehmann: Three questions, if I may. Firstly, you -- Maud you just commented on energy. Can you -- could you please comment on raw materials? We've seen industrial metals moving higher. I guess cement could be moving higher. So do you see meaningful inflation on the raw material side? That's my first question. My second question is coming back on U.S. residential roofing. Sorry about that, but we've seen some price increase announcement from the industry for April. Are you confident that this could happen? Or are you trying to be a little bit defensive, trying to prevent price decline and you expect prices to be stable? And lastly, in France, we've seen quite a few headlines around housing targets, boost to social housing. We've seen MaPrimeRenov coming back after the budget. Could you try to frame things a little bit for us in terms of what's going on in France in terms of housing activity?
Unknown Executive: You start with the first one.
Maud Thuaudet: So raw material, again, stable to slight inflation. We have some categories which are seeing inflation, sand, paper, raw material -- sorry, packaging and transportation are seeing some slight inflation. Coming to your specific point, you mentioned cement. So cement, we are substituting quite a lot of our cement input. For example, we inaugurated a plant in Finland that enabled us to actually substitute cement with other raw materials. So we are quite stable on this one. But overall, stable to slight inflation for the group on raw material as well.
B. Bazin: And on your second question, yes, we have in mind, it's a bit too early to say, but we have in mind and our teams are preparing for that, a kind of price increase around April for roofing. You may have noticed, but we can tell you that we were still positive on Q4 pricing in North America in Q4. So we have been very disciplined. That helps also the margin on top of all the cost actions we took in the second half. We have been very disciplined on the pricing momentum for our different product lines, which were all exterior or interior positive in the second half. On France, well, Arnaud, we have seen in the last year that France is not an easy read on multiple fronts. So I will be a bit cautious because it could change. But for me, if I step back, over the last 3, 4 years, clearly, and we have been advocating for it, not only for Saint-Gobain but just for our overall society, the housing topic, the energy efficiency in homes is becoming more and more as a top political priority, even to the point, even to our surprise that the EU Commission, which is not in their perimeter, decided to take on the housing crisis across Europe. So yes, in France, there are some increased momentum, 400,000 homes and start we should build in the coming years, more emphasis on social housing. So we see a clear momentum on new build in France as we speak, again, single digit in starts, double digit in permits. The political willingness is there. We will see a positive momentum there in '25. It's a bit too early to see a bullish scenario for housing in France. But yes, the momentum is there. All the players are pushing for that. MaPrimeRenov, as you said, is back. So energy efficiency is a factor. I highlighted the green value of what it means for the real estate value, not only the comfort and the purchasing power on the energy bill, but also the real estate value. So all those parameters are moving in the right direction. Let's not fool ourselves on the total momentum. But as you have seen, we are turning the corner in France, and I'm confident that we are outperforming in France across new build and renovation, thanks to our full presence, and it should continue throughout the year '26 and beyond. We are at the beginning of the large housing recovery in Europe because there are big needs. We are at the beginning of that, which will be a multiyear process. Next question is from Yassine, On Field.
Yassine Touahri: First question on -- there is a debate currently in Europe around competitiveness versus potentially a revision of the EU ETS. I guess decarbonization is a big theme for you. What do you think of this debate? And what does it mean for the strategy of Saint-Gobain and your investment plan? That would be my first question. And my second question, coming back to the U.S. pricing. Have you announced any price increase in gypsum or insulation? Or is it too early in the context where the volume are a bit subdued?
B. Bazin: No, it's too early to say on gypsum and insulation. So we will see how the year develops, but it's too early. We start the year slightly above where we were last year because we ended the year on a positive note, but it's a bit too early to say on all this topic about competitiveness and decarbonation, keep in mind that within building materials, the light side is the solution. And all the strategy of Saint-Gobain on light sustainable construction has been to accelerate the rollout of solutions towards low-carbon construction and low-carbon buildings. We are not the problem. We are the solutions in terms of lowering the carbon content of construction. So we are not part of the CBAM scope, and we don't need that. We don't rely on that. We have some quotas of CO2. We are actively decarbonating our plant. We dropped by 35% of our CO2 content within Saint-Gobain in terms of footprint, Scope 1 and 2. So we are, I think, pioneering on that with only 2 plasterboard electrified in the world, Norway and Canada. So it's not only Europe, it's across the board. So we are making nice progress, and it's a competitive advantage for Saint-Gobain. So we don't have the volatility of what it means for us because we are not relying on CBAM, and we are on the solution to bring forward low carbon content in materials on buildings, be it new or be it renovation. So for us, it's a good momentum, and we will continue to accelerate and differentiate on that. We have the full scope almost of Saint-Gobain covered with EPDs, Environmental Product Declaration. We have the full suite of products [ Infinae ] for low-carbon gypsum, [ Enae ] for low carbon mortar substituting cement, [ Rinnai ] for low-carbon insulation. So all this is already a commercially available offer for Saint-Gobain and doesn't rely on CBAM type of measure. Next question is from Julian, UBS.
Julian Radlinger: So 2 from me, please. So first of all, can you talk about Europe and specifically Northern Europe? So I remember in summer 2025, you were still assuming positive growth but then sort of turn to flattish and now it ultimately ended up being negative more than 2%. I mean what was the main driver versus your own expectations here aside from the market just staying tough? And I guess what gives you the confidence now that, that will turn after the difficult weather in Q1? Next question, it's 3 actually. You said the Americas margin in H1 could be around 16%. So can I just ask, so for that kind of scenario, what kind of volume and price would you need to see to achieve that? And what could be the upside or downside? And then last one, and most importantly, maybe if I take everything together that you said on this call, weaker first half than second half, the margin comment on Americas, et cetera. For the full year, do you think EBIT or EBITDA should reasonably be up year-on-year in absolute terms for the group? Is that kind of a fair base case?
B. Bazin: So on Northern Europe, I answer that. As Maud highlighted, we have been a bit disappointed by the momentum in Germany and in Nordic countries. Sweden was slightly better, like Denmark, but Norway a bit down. So that has been the reason behind last year. It's improving. We have also, keep in mind, divested a business, which was a tough one for us in Germany, which was commodity mortars. That was part of the negative like-for-like last year, which we are not going to see going forward. We outperformed clearly in Switzerland. We have a nice growth in Switzerland. Because we are from Switzerland, so I'm happy to say that. We have growth in the U.K. We have growth in Eastern Europe. So it was the size of the Nordic countries and Germany below the momentum and the expected momentum we had last year. It's again improving, and we will see that in '26 on -- anything you would like to...
Maud Thuaudet: No.
B. Bazin: On Americas, again, I've been clear on how you should compare the margin overall for Americas. We expect, and there is no reason not to say that, a normal weather in Q2 and starting the season, like always, for all the job sites, be it renovation, be it new build, be it roofing or gypsum. So that's what we expect, and there is no reason to think differently. We will have this negative impact in Q1, which I highlighted. We have seen that across all the competitors. Outside of that, we will continue to deliver on a normal year and do well on our margin overall for Americas, H1 being lower than what we expect in H2. And the full year, well, we have given a very clear guidance for the full year, like we do every year at the beginning of the year. We are ambitious on the margin. We have a very powerful plan for the next years. You have seen that we delivered every single year, every single year, and it was not walking the park in the last 5 years, be it inflation, energy crisis, Ukraine war, COVID, whatever, we delivered. So this is what Saint-Gobain showed you in the last 5 years. We deliver on portfolio optimization. We deliver on execution and operational excellence. We have a fantastic growth avenues on nonresidential and infrastructure, where we gained share. We have seen that on construction chemicals clearly in North America and across the board last year. So happy to continue, and we will have a nice momentum in '26. Keeping in mind that, yes, there is a transition on weather at the beginning of the year. But I think we have bottomed in Q1 in North America because of this weather pattern and no carryover of roofing from last year. So from there, in Europe, in North America, I think we will show some attractive momentum. From Bernstein now.
Unknown Analyst: So I had one question on working capital. And again, you've got another year where the working capital days has reduced by 1 day. So could you help us in trying to get a sense of how we should think about it going forward? I mean, obviously, there has to be one range where you're comfortable, but how much lower can you go from here on? And my second question, sorry for going back to North American roofing and the North American margins in general. So I think it was -- it's quite commendable that you were able to maintain the margins despite the huge decline in volumes in roofing, and you also highlighted some weakness in the Solutions business. So could you help us unpack the offsetting drivers which allowed you to offset the impact of the weaker volume in some parts of the business so that you were able to maintain the margins?
B. Bazin: I'll take your second one, and Maud will take the first, quickly again on North American roofing, there is -- we have a lot of lovely businesses within Saint-Gobain. It's not only North American roofing. Stay with us and stay tuned. We are growing a lot in double digits in Asia and emerging markets. And with -- now based on the exchange rate, we have more profit from Asia and emerging markets than Western Europe and than North America. So stay tuned on how fast we grow double digit in Latin America. No one talked about the 7% almost organic growth we delivered in Latin America, but I can tell you it's stellar and way, way above the market without mentioning the double-digit volume growth that [indiscernible] has delivered, [indiscernible] very well on volume in India last year. But coming back to our interesting piece of roofing, we took a lot of actions in the second half. Of course, pricing. We have shown a very strong pricing discipline. As I said, it has been up altogether in H2 and also in Q4. We took some short-term actions that you can take. You cannot take that forever. You're dropping some shifts, working on your maintenance cost. So there are some short-term actions that we took deliberately in the fourth quarter, in the second half to deliver on our commitment. You cannot take that forever because at some point, you have to rebuild the inventory to service your customers. So yes, there were a lot of the full range of short-term actions that we took across the board in North America last year and not only in roofing, our Siding business accelerated in the fourth quarter. We had a nice delivery on gypsum. We took some one furnace down in insulation in the U.S. Altogether, sometimes, I should maybe emphasize that more, but we have taken a lot of cost actions within Saint-Gobain last year. If I were to tell you that we had over the last 2 years, 4,000 headcount reduction in Europe, that's the fact. That's how proactive we have been on cost management within Saint-Gobain. Last year, we did shut down 20 plants across Saint-Gobain in the world, we did open 24, but we did shut down 20 old plants, including 6 in the U.S. So a lot of those actions are behind the margin protection, the margin focus. And all this is being delivered by country CEOs, being proactive, hands-on and incentivized on their margin. So all those parameters helped us to deliver nicely on our commitment in the margin.
Maud Thuaudet: Yes. On the working capital, yes, indeed, we improved by 1 day this year in 2025. I think we are at the range where we can stabilize the working capital -- the operating working capital. It's where we are at ease to service the customers in a good way. So clearly -- and we have guided during the CMD for a working capital below 15 days. So that's the order of magnitude where we will navigate going forward, again, from where we are today and navigating within the range of our CMD objective. So that is what you should expect. But again, as for the margin, remaining ambitious in terms of cash generation and ambitious in terms of how we are able to optimize all our operations, as Benoit explained, for the margins. We do the same for the cash. We optimize everything.
B. Bazin: Thank you, Maud. Next question from Ephrem, Citigroup.
Ephrem Ravi: Sorry, going back to the working capital again. The -- given the weather events in the first half, should we expect a change in trajectory at least in the short term on the working capital in terms of holding higher inventory at your sites or at your distributors given the potential kind of bounce back in demand in the second half? So i.e., should we see a big or a sizable pickup in the first half in terms of working capital versus the second half? Secondly, in terms of free cash flow and net debt. So basically, your net debt remained relatively stable despite your acquisitions and increased dividends. So again, do you see scope for the balance sheet to be stretched a little bit more in terms of acquisitions beyond sort of the EUR 2.5 billion range that would get you to about sort of 1.7, 1.8x net debt to EBITDA?
Maud Thuaudet: So in terms of working capital, of course, it will depend how the season goes and when actually the weather normalizes, et cetera. So we will see how it evolves. It's a bit early to say. We will manage that very tightly, being a bit strategic as well in building the right inventory so that we can service the spikes in demand that we typically see whenever there are some hailstorms, for example, in the U.S. coming back to the Roofing business. So we are strategic in maintaining the right level of inventory to capture the demand and the spike in demand. So we will manage that very tightly, and you should expect something to be normal. You've seen what we've done last year, and we continue managing that. In terms of net debt, yes, we have room for acquisitions. Does it mean that because we have room, we are going to go on major moves that -- so again, we have some clear criteria. We have a good balance sheet. We have optionality to do nice deals. We have a good pipeline. But then again, being very picky on the quality of the company and the quality of the business and what value it brings to Saint-Gobain to the shareholders.
B. Bazin: Next question from Bill Jones, Rothschild.
William Jones: Three, if I could, please. First, just generally around synergies. Clearly, you're still integrating some large deals from the recent years. So just whether you could talk a bit more about the revenue and cost synergy benefits that might lie ahead this year and where they could be most impactful. Second was on the Distribution businesses, France and Nordic particularly. Perhaps you could just talk on the performance in '25 there, particularly around gross margins and any comments for '26, maybe that is aside from just the macro? And then maybe just Asia Pacific lastly, slightly stronger volume growth in H2 than H1 at kind of 3% to 4%. Do you think that run rate can continue? And any country-related comments there would be great.
B. Bazin: So maybe I'll take the one and three, you take the second. On Asia and emerging markets, yes, we have seen a better momentum, stronger momentum in H2. We have stellar growth in India, and it will continue. We have a good start -- a very good start of the year in this part of the world. Southeast Asia, be it Indonesia, Philippines, Thailand, Vietnam, all those countries are strong. So that will continue. In China, we have seen some positive momentum lately. So then we are with a high-added value positioning in China, keeping in mind that we have a sizable part of Industrial Solutions in China, competing on innovation. So that should bode well. So yes, I'm confident that the momentum in Asia will be positive and even increase in '26 versus what we have seen in '25 in the second half. On the -- I take the first question, yes, synergies and how we integrate. You have seen the value we created, if I take our gypsum position in North America, the first with Continental Building Products. We have seen very good momentum. Let's take the second half of last year, we were down single digit on gypsum versus the public figures, I've seen some -- from peers down double digits, 14 or 15 when we were down in volume, minus 6 or minus 7. So I put that on the background of how we can deliver on synergies, not only on plasterboard, but across the full spectrum because every single of the top distributors in the U.S. You take A, B, C, they have exterior, they have interior with L&W. So all of them, they ask for interior and exterior solutions. You take our strong momentum in Latin America. Cemix, of course, has a nice pull effect across Mexico and Central America. I went to Saudi Arabia and Middle East in December together with Thierry Bernard. We have a 30% growth in the Emirates. And it's thanks to FOSROC, Gyproc, all the momentum. So all this is part of the -- not only cost synergies on purchasing and all the logistics and the raw materials we can deliver, but more importantly, on the top line. So yes, we are happy about the synergies we have been delivering on all those acquisitions and more to come because we have now the country platform to integrate well and to accelerate the momentum. You want to take the...
Maud Thuaudet: Yes, sure. For distribution performance, well, you see the margins in Southern Europe, in particular, and in Northern Europe, which shows that those businesses are performing well in terms of margin despite, again, a tough environment in terms of volumes when you compare to 2019, for example, in France, it is down 15%. In Nordics, more around the 20%. So those businesses are doing well. We had given -- they are a bit below what we had said at the previous CMD of this range, 6% to 8%, but they are doing well. They are clearly leading on all the digital side, and they are providing great insight for the rest of -- great pool for the rest of Saint-Gobain. If you think about AI applications, if you think about digital suite, digital tools, those businesses are really spearheading those topics and we're creating some nice spillover on the rest of the group. So good performance, and we will continue on this one with very mobilized, of course.
B. Bazin: Next question from Harry Goad, Berenberg.
Harry Goad: I've got 2, please. First, if I could just come back to Europe, I guess, with a more specific question with your thoughts on 2026. Do you expect to see positive volume growth in France, Germany and the U.K. in the year? And then the second one is just with regards to the evolution of the portfolio when you talk about this 20% turnover of the revenue base, should we think of that as sort of half acquisitions, half divestments? Or is it right to think of it as much more skewed to acquisitions driving that 20% evolution in the next few years?
B. Bazin: The 20%, if I understand correctly your question, it's both acquisitions and divestitures, and we measure it like we have done in the last 5 years on turnover. So that gives you the magnitude. Also you take EUR 50 billion turnover of Saint-Gobain, depending on the exchange rate, that's around EUR 10 billion of sales we will have rotated in the next years. And to your first question on '26, yes, we have seen some green shoots moving in the right direction on those countries. So putting aside the weather impact at the start of the year, and again, if we -- don't be surprised on Q1 organic growth because of this negative effect coming from the weather. I say it again, you may have seen some pictures at least for the French ones with half of France being totally flooded. So it's not only that you cannot work because you have to dry the building, but you cannot even access to the job sites. France, we have 6,000 truck drivers on the road every single day. So that's a double-digit impact at the beginning of the year. But bearing that aside, putting that aside, yes, we expect the countries you mentioned to turn on positive volumes in '26. Now we move to the questions on the Internet on the website, and I will start with a question from [ Paul Roger from Exane. ] I guess I will read your question, Paul. I will not have your perfect accent. It will be my French accent, but keep with us, stay with us. Did the group lose any market share in Northern Europe, Germany and Nordics? And why did H2 EBITDA margins decline in this region? I'll take the first half. I don't think we lost market share, but it's not regions where we have a clear outperformance. If I take France, Spain, Italy, U.K., U.S., Canada, Brazil, India, all those countries, we beat the markets. In Germany and in the Nordics, we have been working on the quality of the assets. If I take Germany specifically, as I said, we divested last year -- it was kind of EUR 100 million of sales. Our great commodity mortars, which, frankly, was not high-end part of our solutions. We did also shut down a large flat glass facility in Herzogenrath in September, October because of the overcapacity. So we thought it was the right action to take. So it was not fishing for volumes. It was working on the quality of the assets. And therefore, no outperformance in terms of market share, notably in Germany. But I think we have now a better portfolio. We have a new manager in place, Christian Bako, who used to be the Head of Saint-Gobain marketing worldwide. So it will, for sure, bring a nice dynamic in Germany going forward, plus all the expected momentum we see on the infrastructure and...
Maud Thuaudet: There was a second part of the question, and I'll take it, which was about H2 margin decline in this region. So we talked about it. It's mostly due to nonoperating costs, which were higher in H2 in that region because of the actions that Benoit just mentioned.
B. Bazin: Next question from Laurent Runacher. No, sorry, there was another question. Will depreciation step up this year as the group increases capacity? You answered that question...
Maud Thuaudet: Yes.
B. Bazin: Already, Maud, right. Does the group's high market share limit further M&A opportunities in U.S. construction products? The overall answer is no, of course with some exceptions. If you take roofing, as I said, residential roofing, we have only 3 national players. So it's hard to buy one of them, but that would be one exception. And as you remember from what Mark Rayfield presented at the Capital Markets Day, the direction of travel in North America is more towards nonresidential and infrastructure markets because we have a very meaningful #1 position on residential roofer, both interior and exterior. So if any, target and effort, it's more organically and inorganically towards nonresidential and infra where we have plenty of space. This is why we have done some acquisitions on construction chemicals in the U.S. and in Canada last year. We will continue to look at that. We have some targets as we speak. So that's the direction of travel to expand our Saint-Gobain presence in construction products across North America, U.S. and Canada. Next question is from Laurent Runacher. With the last rotations of the portfolio, what can we now expect in terms of organic growth for the group over the cycle? Well, we answered that on October 6 on the Capital Markets Day. So I think you have the answer, and we highlighted it region by region and also saying that on non-resi and infra, we expect that to be above the group average. So please...
Maud Thuaudet: Yes. And we also highlighted the fact that our acquisitions on average have 4 points of organic growth additional versus the group average. So clearly, portfolio rotation changes the growth profile of the group.
B. Bazin: A question from Glynis at Jefferies. You talked about win-win relationship with top U.S. distributors. Can you provide some additional color on this? Well, there is a bit of commercial insight, of course, behind that. But maybe one easy answer is to say, when you are a national player with hundreds, if not thousands of outlets across U.S. and Canada, you want to make deals and bring eye-to-eye top CEOs, CEO to CEO across the country. You don't want to have a deal because there is a new plant in Alabama or a new plant in Minnesota. You need to partner altogether. And this is the kind of -- I talk to the natural players. And if they can deliver to me not only 1 product category in 50 stores, but 6 different categories across 800 stores, I'll partner with them. So that's the kind of high-level strategic discussion and long-term partnership we have been building with the top distributors. They have been consolidating. And when you consolidate, yes, you need an even bigger player on the partnership side. So that's what we have been seeing. And one example, I'm not sure we gave it on my slide, we have increased by 10% the number of stores on those distributors where we are cross-selling. And for us, cross-selling in the U.S., we measure it when we cross-sell more than 6 product lines. So that's true that last year, we increased by 10 points the cross-selling point of sales with the national distributor. So that's the kind of initiative. Another initiative, they are all working on digital solutions on AI. They partner with the big players that can offer that. So it's important. And they are happy when you can tell them, we invested $7 billion in the U.S. in the last 5 years. That means we are committed to the country, and we are a meaningful player to you. So that's the kind of -- and with those top players, I can tell you, Mark Rayfield, myself, we have top-to-top meetings every single year and deepening the relationship. As you have seen, Continental Building Products years ago helped us to accelerate in retail. The fact that some retail players bought some Merchanting businesses, will continue to help us accelerate in retail, and we have seen some good initiatives as we speak. So that's the kind of win-win partnership we will continue to move forward. This is also what we experienced in France. In France, when you are 6x bigger on your Merchanting business than any other player, you partner with the best players on the manufacturing side, which are the Saint-Gobain manufacturing brands. So that's the kind of win-win snowball effect we will continue to push forward. There is a question now from RBC, if I'm correct. Some energy efficiency tax credit programs are expiring in the U.S. this year. Therefore, how are you thinking about U.S. renovation demand and volumes within your Interior Solutions segment going into '26? But frankly, I don't look at it like that. I look at it as acceleration of the climate, extreme weather patterns, take a multiyear view. We have seen that across the board. It could be fire risk. It could be flood. You have multiple states today where there is no more insurance. If you have a fortified home because of your roof, because of waterproofing, because of siding, so the need for climate-resilient building is accelerating in the U.S. So that's clearly an important momentum that should continue because, as I said multiple times, sustainable construction just means better buildings, better real estate value. You take the average statistics in the U.S. on offices, we have 25% higher real estate value when you have the right performance on energy efficiency, regardless of any tax credit. So be it the real estate value, be it climate-resilient offer. This is driving the U.S. market, and it will continue. We are not going to rebuild Los Angeles the same way it was built. We are not to rebuild homes that have been destroyed with heavy storms the same way they were built 20 years ago. You need more wind-resistant shingles and it goes on and on like that, and we'll continue to see that. I think some last questions from Davy. Can you provide an estimated percentage of revenues that currently relate to data centers? And how big is the growth strategy. Maud, do you want to take this?
Maud Thuaudet: Yes. It's -- we had highlighted this topic at our CMD where there had been this study of who is the most present in terms of building material towards contractors and the answer from contractors at 34% was Saint-Gobain. So we have a strong offer in data centers, and Benoit just showed it. We are working currently on 600 projects, and we are talking about projects which take place everywhere in the world. And the way it happens is we partner with some consultants. Sisk, for example, in Ireland is one of them. We develop the offer. We co-develop the offer with those players. And then, of course, we have the ability to provide that offer everywhere in the world because the construction sites are then local in every country. When we deliver 20 data centers in Indonesia and Malaysia, it's because we produce in Malaysia and Indonesia part -- large parts of the offer. And then, of course, we can ship some additions, which make the complete data center offer. So we are quite uniquely positioned. And I think we had said, Benoit, last call that data centers is -- we can expect to triple sales in that area, and it's some hundreds of millions.
B. Bazin: I think we are exhausted, the last question. No regrets, Elodie Rall from JPMorgan. I -- Not, I can hear you, Elodie, and I will repeat the question for everyone. So questions from Elodie Rall, JPMorgan is the scope and FX estimate for the full year and the tango of margins of roofing in North America where the -- if I understand well, where the H2 margin will be more -- H2 '26 will be more comparable with H1 '25 when we said that H1 '26 will be more comparable with H2 '25. So you take the first one Maud and I will take the...
Maud Thuaudet: Yes. So FX, we anticipate at current spot rate because it's a little bit of a complex exercise, but at current spot rate, about minus 3% on sales for first quarter. H1 would be around minus 2%. But again, keep in mind that this is very volatile, and we've seen that last year. And then in terms of scope, if -- things will move, but as of now, around stable scope effect, maybe a bit negative, but around stable.
B. Bazin: And to your second question, the overall answer is yes, because we expect the weather to normalize in -- starting in Q2 and therefore, in H2. Let's see how strongly the momentum will develop, notably the proportion of the additional business we could get from the snow ice storms we have seen at the beginning of the year because we will not have the carryover that we had in H1 '25 from '24. So -- but I'm confident that H2 will be a normal year for roofing, and we should see that starting in Q2. So in general, high-level answer is yes to your question. Thank you. I think we are short on time. Last question from [ Christophe, mic, ] and then we will finish, [ Christophe Lefevre-Moulen. ]
Unknown Analyst: To come back to U.S. insulation and plasterboard, we -- so main issue for your competitor, Owens Corning was not roofing, but this business line, gypsum and insulation, what was the case for Saint-Gobain over the second half? Was the margin strongly down as it was the case for your competitor? Or are you able to maintain it?
B. Bazin: Well, we have delivered a flattish margin in the second half in North America. So we could not have done it if one of the big businesses, be it exterior or interior would have been down. So the overall answer because I'm not going to give you the details on all this that we delivered well on the margin, both exterior and interior across North America in the second half with some cost actions. So insulation was tougher, and we decided to shut down one furnace in Kansas City. So there has been some ups and downs, but we delivered quite well on the margin overall being broadly stable in the second half in North America. So I think we covered all your questions. Thank you again. As a conclusion, again, a big thank and a big congratulations to all the Saint-Gobain teams for another year of very strong delivery, consistent delivery like we have shown in the last 5 years of Grow & Impact. And happy to say that we have nicely concluded Grow & Impact, and we are opening a very exciting Lead & Grow. I can tell you the teams are running and didn't wait for January 1. We have been running since we launched it in October. Lead & Grow is simple -- powerful and simple. It's deepening our solutions, which are proven to be very relevant, expanding those solutions on infrastructure and nonresidential markets where we have a lot to play and to win. Rotating the portfolio. We are active, and we have been -- that we can deliver well on that in terms of value creation, and we have clear plans and clear projects as we speak to do some meaningful moves in '26. And of course, continue to rely on super engaged, powerful operating model at Saint-Gobain driven by country CEOs. So many thanks to all of them. Many thanks to all of you, and we will deliver a strong performance in '26. Thank you very much.